Olga Levinzon: Good morning and good afternoon, everyone. This is Olga Levinzon, Coty's Senior Vice President of Investor Relations. Thank you for joining us today for the prepared remarks portion of Coty's Third Quarter Fiscal 2023 earnings. Later this morning, at approximately 8:15 a.m. Eastern time, we will hold a separate live Q&A session on today's results, which you can access via our investor relations website. Joining me this morning for our presentation are Sue Nabi, Coty's CEO; and Laurent Mercier, Coty's. Before I hand the call over to Sue, I would like to remind you that many of the comments today may contain forward-looking statements. Please refer to Coty's earnings release and the reports filed with the SEC, where the company lists factors that could cause actual results to differ materially from these forward-looking statements. In addition, except where noted, the discussion of Coty's financial results and Coty's expectations reflect certain adjustments as specified in the non-GAAP financial measures section of the company's release. Thank you. I will now turn it over to our CEO, Sue Nabi.
Sue Nabi: Thank you, Olga. Welcome, everyone. We are once again proud to report strong operational and financial performance, with today's Q3 results marking the 11th consecutive quarter of results in-line to ahead of expectations. In a complex global environment, beauty remained an advantaged category with consumers at the sweet spot of affordable luxury, self-care and confidence boosting. We saw no signs of slowing in consumers' appetite for fragrances, as the fragrance index, as we like to call it, remained in full effect. And we once again delivered another quarter of balanced growth with like-for-like growth across both divisions across each of our regions; and across our key categories, including fragrances, cosmetics and body care. This has allowed us to again report sales growth above the underlying beauty market. As a result, we continue to target growing our sales ahead of the beauty market, growing our profit ahead of sales and steadily deleveraging our balance sheet, positioning our company to become a true beauty powerhouse. I'm also very grateful to our Board for their continued support and trust in me, as we've recently announced the extension of my long-term partnership with Coty anchored on a long-term equity program which runs through 2030. I'm, as you can imagine, very excited to continue to work with my leadership team to drive Coty forward to build substantial value for all stakeholders for many years to come. Now I would like to call out a few highlights from our results. First, we once again delivered revenue growth ahead of expectations and guidance, fueled by the strong beauty demand, retailers restocking post the holidays and successful key brand initiatives in both divisions. Our Q3 core like-for-like revenues grew 15%. Second, beginning in Q3, we've kicked off the full multi-pronged growth acceleration of our strategic skin care business, including new launches, merchandising updates, distribution expansion and PR events. As such and consistent with what we've discussed in recent months, we are reinvesting behind these strategic initiatives and the underlying organization to drive our future growth flywheel in the coming years while, at the same time, confirming our profit delivery in fiscal '23 and beyond in line with our guidance and leverage target towards 3x exiting calendar '23. Third, we continue to execute and make progress across our strategic growth pillars. Finally, we are raising our core like-for-like fiscal '23 revenue guidance to plus 9% to plus 10% while maintaining our fiscal '23 EBITDA guidance of $955 million to $965 million. We are also raising our fiscal '23 adjusted EPS guidance. Assuming the current share price holds, we expect over 85% growth in our overall adjusted EPS to $0.52 to $0.53. And excluding the equity swap benefit, we now expect a fiscal '23 adjusted EPS of $0.38 to $0.39, reflecting very strong growth of roughly 35% year-on-year, up from previous guidance of $0.35 to $0.36. I will now take a few moments to cover our revenue trends during the quarter before Laurent takes you through our financials. Then I will finish with an update on our strategic progress and our outlook. Starting with our revenue performance. Our Q3 core revenues grew 15% like-for-like, adjusted for our exit from Russia. This brings our fiscal year-to-date core business revenue growth to plus 10% like-for-like, ahead of our original 6% to 8% like-for-like growth guidance. In Q3, our core Prestige business grew 16% like-for-like, adjusting for the Russia exit, resulting in plus 10% core like-for-like growth fiscal year-to-date. The strong sales growth acceleration in Q3 reflected continued robust fragrance demand, which actually strengthened further in recent months; improving in our prestige fragrance supply; and retailer restocking, which we estimate provided a mid-single-digit percent benefit to our Q3 growth. We estimate that retailer inventories are now at normalized levels, which should drive Q4 sell-in to be relatively aligned with sell-out. Within the Q3 Prestige growth, we saw mid-single-digit volume growth and double-digit expansion in price and mix. Now in Consumer Beauty, our Q3 core revenues grew 12% like-for-like, bringing the fiscal year-to-date core like-for-like growth to plus 11%. Our Q3 Consumer Beauty growth included low single-digit volume growth and double-digit price and mix. Now geographically. I'm very pleased to say that the like-for-like revenues continued to grow in all regions. Americas revenue grew 15% like-for-like in the quarter, with double-digit growth in nearly every market. EMEA sales grew plus 18% like-for-like in Q3, which adjusts for the Russia exit. We saw double-digit growth in nearly every market, with particularly strong momentum in regional Travel Retail. Asia Pacific revenue grew 4% like-for-like in Q3 with strong momentum in broader Asia and Travel Retail and negative but steadily improving trends in China as retailers worked through inventory. Importantly, April sales in China, including Hainan, had increased both versus last year and versus 2 years ago, speaking to the strong signs of recovery in the market. I will now hand the call over to Laurent to take you through our financial results.
Laurent Mercier: Thank you, Sue. In a complex global environment, I am pleased to say that we continued to deliver strong financial performance, with the Q3 results marking the 11th consecutive quarter of results in-line to ahead of expectations. Let's start with an update on the global supply and inflationary backdrop and how we are navigating through this difficult environment. As we spoke about last quarter, the continued robust demand for fragrances resulted in industry-wide supply chain shortages in key fragrance components. The biggest constraints have been felt in glass bottles, though the supply of fragrance caps and pumps has also been limited. As we discussed in recent months, our Prestige service levels improved significantly in the third quarter, reaching a high-80s level exiting the quarter and only a few percentage points below targeted levels. This improvement was driven by strong efforts by our supply chain team to systematically address component constraints by qualifying additional suppliers as well as by industry capacity coming online. As a result, retailers restocked on fragrances following the trade inventory depletion during Q2. Turning to the inflationary backdrop. In the third quarter, COGS inflation rose sequentially to over 2% of sales, in line with our expectations. We expect a further increase in COGS inflation to approximately 2.5% in the fourth quarter, and as such, we continue to estimate COGS inflation of approximately 2% of revenues in fiscal year '23. Looking to fiscal year '24, in the first half of the fiscal year, we currently expect COGS inflation to be consistent with the levels observed in the second half of fiscal '23, with a moderation in COGS inflation closer to 1% in the second half of fiscal year '24. In addition, we expect someone -- somewhat higher inflationary pressure in SG&A. Our execution on savings, strategic revenue management and pricing is helping us balance this inflationary-backed impact. We are currently evaluating another round of pricing in the first quarter of fiscal year '24 as we continue our portfolio transition to cleaner and more sustainable products, including for the majority of our fragrance portfolio to be produced using carbon-captured ethanol by end of calendar '23, while simultaneously driving category value expansion. I will now provide an update on our All-In To Win program. In Q3, we delivered savings of approximately $60 million, bringing our year-to-date savings to approximately $130 million. And as savings ramp up from key initiatives, including our fragrance plant consolidation and material value analysis, we continue to target savings of approximately $170 million in fiscal year '23. We also continue to target savings of approximately $90 million in fiscal year '24 and $75 million in fiscal year '25, reaffirming the savings targets announced in Q2. In sum, having delivered over $550 million of savings life-to-date, we continue to optimize all of our processes and expenditures, thereby positioning Coty to be both flexible and fully equipped to invest in our strategic priorities. And importantly, we are now entering Phase 2 of our transformation as we put in place more enablers of sustainable growth across the brands and markets, supplementing our savings initiatives. Now turning to our adjusted EPS, where we reported strong momentum in the quarter. As you know, we are obligated to include in our adjusted net income and adjusted EPS the mark-to-market changes on the equity swaps we entered in calendar year '22, which locked in an effective stock price below $8 for close to $400 million of future buybacks in calendar year '24 and calendar year '25. As these are noncash and nonoperational impacts which will be mechanically calculated based on the quarter-end stock price, we are tracking and measuring our EPS performance both including and excluding the impacts from the equity swaps. We will therefore guide on EPS both including and excluding the swap and to explicitly call out the swap impact in our earnings report to easily enable investors to understand our operational performance. As a result, we recommend, for investors and analysts, to include in your models the 2 EPS figures, our operational EPS excluding the swap and the EPS inclusive of the swap, which by necessity will be shown in our earning releases. With that context: Our Q3 diluted adjusted EPS was $0.19, which includes a noncash EPS benefit of $0.13 from the mark-to-market on the equity swap. Our operational EPS excluding the swap was $0.06, reflecting a $0.03 increase year-on-year driven by the operating income growth as well as a lower effective tax rate. On a fiscal year-to-date basis, our adjusted EPS including the swap was $0.52 or almost 80% higher year-on-year. And our adjusted EPS excluding the swap was $0.38, which reflects very substantial growth of 31% versus last year. Looking ahead to the remainder of fiscal year '23, I would like to provide some more context on the different drivers of our adjusted EPS. First, we continue to expect depreciation to be in the mid-$200 million. Second, we continue to expect net interest for the year to also be in the mid-$200 million. We now expect an adjusted effective tax rate for fiscal '23, excluding the equity swap, of mid- to high 20s, a little below our previous outlook of high 20s. Finally, on fiscal '23 share count, based on GAAP accounting provisions around anti-dilution, we continue to expect diluted shares at the 860 million to 870 million range. Moving to our profit delivery for the quarter. Our Q3 adjusted operating income grew 8% to $123 million, with our year-to-date operating income expanding a strong 15% year-on-year. This delivery was particularly impressive given strong ForEx headwinds which negatively impacted our year-to-date profit by over $50 million. The Prestige division delivered double-digit operating income growth in the quarter, while the Consumer Beauty division saw an operating loss reflecting both the stepped-up investment in A&CP around the key spring initiatives, coupled with certain transactional ForEx costs. As a result, our Q3 adjusted operating margin was relatively stable at 9.5% year-over-year, with our year-to-date margin up strongly by 180 basis points to 15.1%. Importantly, we continue to expect strong income growth and margin expansion in both divisions in fiscal year '23. Our adjusted EBITDA was stable with the prior year at $182 million, with 4% growth year-to-date to $807 million. As a result, year-to-date adjusted EBITDA margin reached 19.2%, up 50 basis point versus last year. Moving to our gross margin performance. Q3 adjusted gross margin of 62.9% decreased by 170 basis points from last year, bringing the year-to-date adjusted gross margin to 64.2%, which is stable year-on-year and up by a very significant 450 basis points versus 2 years ago. Our Q3 gross margin was impacted by close to 100 basis points of onetime negative impacts, including the benefit from the Wella TSA exit in the prior year; an increase in COGS inflation to over 2% of sales; and a negative impact from transactional ForEx. These impacts on gross margin were partially offset by the execution of additional pricing increases at the end of the quarter, which will have a more sizable benefit to gross margin in Q4; and the positive benefits from mix and supply chain productivity. Despite these headwinds, we continue to expect modest gross margin expansion in Q4 and fiscal year '23, with further expansion in the following years. Going forward, we will continue executing on our multi-pronged, multiyear gross margin attack plan as we drive our gross margins to the mid-60s and beyond. Let me now walk you through our marketing investment. In Q3, A&CP investment represented approximately 27% of sales, stable with Q2 levels and with the prior year, as we continued to support our key initiatives. This brings the year-to-date A&CP level to approximately 26%, in line with our expectations. As with prior quarters, our marketing spend was concentrated behind key launches in Prestige and Consumer Beauty as well as white space opportunities. For the fourth quarter, we expect A&CP to remain in the high-20s level of sales, resulting in full fiscal '23 A&CP also ending in the high-20s level of sales. Moving to our free cash flow. We had free cash outflows of $178 million in the quarter. This was consistent with Coty's seasonally weaker cash flow period and our active efforts to build prestige fragrance inventory to secure the fall '23 holiday season in the midst of persistent constraints in key fragrance components. Year-to-date, we have generated $365 million of free cash flow. Consistent with our previous guidance, we remain on track to deliver over $400 million of free cash flow in fiscal '23, with steady expansion in the coming years. Our intent is to continue to use our strong free cash flow and opportunistic asset monetization to actively reduce our debt and advance our deleveraging agenda. Moving to our capital structure. We ended Q3 with net debt of approximately $4.1 billion, reflecting the seasonally negative free cash flow in the quarter and the negative translational ForEx impact on our debt from the strengthening euro. As a result, our leverage at the end of the quarter was around 4.4x, up from around 4.1x at the end of Q2 and consistent with our expectations. The book value of our retained 26% Wella stake remained $1.04 billion, consistent with Q2. Factoring in our Wella stake, we ended the quarter with economic net debt of approximately $3.1 billion. We continue to expect an attractive return when we divest our Wella stake by fiscal '25. In addition, given the rising interest rate environment, it is important to note that currently approximately 70% of our debt is fixed. Looking beyond '23, our strong continued progress on deleveraging and debt paydown support our expectation for interest expense to steadily decline in the coming years despite the currently rising interest rate environment. To sum up: We are confident in our next major leverage milestone as we continue to target exiting calendar '23 with leverage towards 3x. Before I turn the call back to Sue, I want to comment on our recent announcement that we are exploring a potential dual listing on the Paris stock exchange. Such a dual listing will further strengthen Coty's presence in Europe and will provide an additional vehicle to reach untapped investors in the market. At this time, we will anticipate listing existing Coty shares on the Paris stock exchange with no additional share issuances being contemplated. The structure aligns with Coty's over-100-year heritage in France and our substantial business footprint in Europe. I will now hand it back to Sue to review our strategic progress in the quarter.
Sue Nabi: Thank you very much, Laurent. So let me now share some highlights from our continued execution on our 6 strategic pillars, starting with our first strategic pillar, which is stabilizing and now growing our Consumer Beauty business. In the quarter, both the mass beauty market and our Consumer Beauty division remained very dynamic. The market grew in high single digits in Q3, in part aided by easier comparisons earlier in the quarter. At the same time, both our Consumer Beauty like-for-like revenues and sell-out grew low double digits, marking the fifth consecutive quarter of share gains for the business globally. And as you can see on this slide, our top color cosmetics brands all gained share globally, with particularly strong double-digit like-for-like sales growth in CoverGirl, Rimmel and Max Factor. CoverGirl led the booming trend in lip with the viral launch of its Clean Fresh Yummy Gloss, which has become the #1 lip launch nationally and the fifth launch across all of mass cosmetics. This has helped to drive further expansion in CoverGirl's household penetration, particularly amongst Hispanic and Gen Z consumers. Our focus for CoverGirl continues to be on driving penetration with Gen Z and millennial consumers. This will help the brand close the sales growth gap with the U.S. cosmetics category. CoverGirl's recent launches of the yummy gloss and skin priming serums are both aimed at these younger consumers. And as the next exciting step in this strategy, we've just announced the upcoming launch of CoverGirl's new Lash Blast Cleantopia mascara, the brand's first plant-powered clean mascara. At the same time, Max Factor continues to shine, growing close to 30%, excluding Russia, fueled by its exclusive collection with Priyanka Chopra Jonas as well as its early but very successful entry into mass skin care with the launch of the Miracle Pure skin-illuminating priming serum. Turning to our second pillar focused on accelerating our luxury fragrance business. We continue to see the fragrance index in full effect with increased fragrance usage by Gen Z, men and Hispanic consumers, further underpinned by social media. In fact, in Q3, demand for prestige fragrances across North America and Europe accelerated to the mid-teens percentages, above the high single-digit growth recorded last quarter and, of course, well above the historical low to mid-single digits growth of the fragrance market. As a result, the fragrance market is now over 40% higher than 2019. And once again, the market data confirms no slowing in the premiumization trend in fragrances. And with expected growth in fragrance consumption in China and further rebound in Travel Retail still ahead, coupled with the resurgence of demand in Europe similar to what we've seen in the U.S., we remain optimistic about the strong momentum ahead for the fragrance category. At the same time, we continued to strengthen and extend our license portfolio with the recent renewal of the Davidoff license beyond 2040, which follows the license renewals in the recent months of both Hugo Boss and Jil Sander. As a result, the average remaining duration of Coty's top 7 licenses, which account for approximately 90% of our prestige fragrance business, is now 11 years. On prestige cosmetics now. Trends have been improving sequentially with the reopening of the China economy. During the quarter, we launched in China new long-wear foundations under both Burberry and Gucci as part of our strategy to enter the higher-loyalty complexion subcategory. The new Burberry Beyond Wear perfecting matte foundation is inspired by the revolutionary fabric of Burberry's iconic trench coat and provides 24-hour wear and protection against the elements. The launch is off to a great start, with consumers nicknaming it the "trench foundation" and with sales well above our targets. In the U.S., our prestige makeup brands continued to outpace the category, with both Gucci makeup and Kylie makeup sell-out growing over 30% or 1.5 to 2x the growth of the U.S. prestige market. Finally, on Kylie Cosmetics, the brand's makeup sales grew strong double digits globally. This growth is fueled by expanding distribution, including a growing footprint in Macy's and the recent successful launches in Dubai as well as the brand's expanded assortment, with more innovation already launched in Q4 with the introduction of Kylash, Kylie's first-ever mascara, which is off to a great start. Shifting to our third strategic pillar, building our skin care business. In the last few months, we've ignited our comprehensive strategy as planned with exciting initiatives across each of our key skin care brands Lancaster, Orveda and philosophy; and many more to come in the coming quarters and years. As we've continued to share, accelerating our skin care presence will be a multiyear journey. And the combination of the strong business momentum we are seeing in the rest of our business and our savings generation both will be crucial to funding this journey and at the same time delivering our targeted multiyear profit expansion. Let me start with Lancaster. In mid-March, we launched Lancaster's ultra-premium skin care line called Ligne Princière, bringing to the forefront Lancaster's heritage as the exclusive brand of the Monaco Princely family, backed by patented and top-testing formulations. We have executed a fully omnichannel launch around Ligne Princière. We can see in this video the very first Lancaster flagship stores launched in Hangzhou, China on March 31 in partnership with China's #1 department store retailer Intime. And we are continuing to open new Ligne Princière doors at the most luxurious locations in the Chinese mainland and Hainan while also launching Ligne Princière on Tmall and Douyin. And while we are still at very early stages in the Ligne Princière launch, the initial results are promising. The Ligne Princière line has reached the #1 spot in social buzz across social media in China, which is a critical component in driving consumer awareness and, of course, trial. In fact, consumers are now calling our cream "the Kelly cream" online. The conversion rate at our initial counters in the Chinese mainland and Hainan are currently in-line to ahead of the leading beauty brands. And the consumer comments and reviews are overwhelmingly positive on the packaging, on the scent and on the texture, with an average product rating of 4.9 out of 5. We view these KPIs, social buzz, sales conversion and product reviews, as the 3 most important metrics for any new skin care launch. And we will be focusing on these areas for each of our key skin care brands in the coming quarters. Shifting to Orveda. In the last few months, we have begun to build the awareness, buzz and desirability of this ultra-premium skin care brand amongst our target consumers: "ultra high net worth" individuals; celebrities; opinion leaders, especially in the scientific community; and leading figures in the art world. Orveda partnered with Paris Art + Design show in Paris to connect with contemporary art and its influential global community of high-net-worth collectors. During the recent Paris Fashion Week, Orveda also partnered with 3 of the most trendy fashion designers, Courrèges, Giambattista Valli and Ann Demeulemeester, to bring its exclusive signature glow to the models backstage, with the post-procedure lines of Orveda helping the models' sensitized skins. And Orveda has been awarded 3 times recently by beauty editors in U.K., U.S.A. and Spain, including the most coveted award, the Prix d'Excellence Marie Claire, making Orveda our most awarded skin care brand. This lays a strong foundation for Orveda's critical commercial and launch initiatives slated for fiscal '24. Turning now to our largest skin care brand, philosophy. Our comeback of the brand kicked off in the last month across all touch points in the U.S. First, philosophy announced a new brand formulation principle, dermatologic wisdom. Second, philosophy has launched its latest product innovation, dose of wisdom bouncy skin reactivating serum. While still very early, sales results are over 20% ahead of our targets. Third, we've relaunched philosophy's DTC website, which is a significant portion of the brand's sales. The new site offers a more elevated brand experience; and includes many new features such as immersive content modules, enhanced product detail pages, subscription program for replenishment orders and personalized product recommendations. While still early, we've already begun to see an improvement in the conversion rate on the new website, as compared to the previous one. Finally, we have updated our in-store displays and merchandising, beginning with Ulta. Let's take a look now at the video campaign for philosophy's new dose of wisdom serum. As you can see, our skin care acceleration has begun in earnest over the last few months, spanning new innovations, elevated online and off-line merchandising and unique differentiating storytelling and brand equity building. While all of these foundational activities require upfront investment, we are, of course, very mindful of key metrics to track our success and ROI as we ramp sales towards our target of over $500 million in the next few years. These include pace of store openings and the productivity of those stores, consumer loyalty and repurchase rates, PR buzz, desirability and reach, building successful hero products for each brand and trust and reputation with the scientific community. Moving now to our fourth strategic pillar, which is digital and e-commerce expansion. There we continued our broad-based momentum across e-com, social commerce and consumer advocacy. On e-commerce, our prestige fragrance brands Hugo Boss and Chloé are now amongst the top 5 fragrance brands on LazMall Prestige, the leading e-retailer in the highly promising Southeast Asia region. With a reach of over 90 million consumers, we are building on this success with the opening of the Marc Jacobs flagship store on LazMall in April. In Q3, we also activated a very successful omnichannel launch of Kylie Beauty in the Middle East by partnering with Namshi, the region's fastest-growing e-retailer. The online activations were coupled with a brand pop-up in the largest mall in the world, Dubai Mall; and also taking over the tallest building in the world, which is Burj Khalifa. The results have been very promising, with the brands maintaining a top 5 cosmetics brand ranking with the retailer, nearly reaching our fiscal '23 retail sales target in the first 9 days. Finally, as mentioned earlier, CoverGirl yummy gloss has been a viral hit with Gen Z consumers, reaching over 100 million views on TikTok. This marks the second phase of our CoverGirl reinvention with a key launch that's targeting the key Gen Z and millennial consumers. Moving to our fifth strategic pillar, building our presence in China. Since the lifting of COVID restrictions at the end of calendar '22, we have seen a steady return of consumer traffic to stores and resumption of flights to Hainan. While inventory work-down at some of our China retailers and distributors weighed on our Q3 sales in China, it's important to highlight that in April our sales in China, including Hainan, have increased versus both -- last year and versus 2 years ago. This reinforces our confidence in the strong multiyear potential of China for our business as we expand our presence in this critical market. And Chinese consumers continued to actively engage with our brands and key launches in the quarter, including Lancaster Ligne Princière, where our announcement of Chinese actress Guan Xiaotong as the brand ambassador is driving a lot of excitement and awareness; Chloé on Tmall, and new Atelier des Fleurs fragrance, building on the brand's already strong momentum, having reached the #4 position fragrance brand in China travel retail in calendar '22; Burberry new launched Beyond Wear foundation; and of course, Gucci newly launched Éternité de Beauté foundation. Finally, we are continuing to see incredible momentum in our Travel Retail sales. Both in Q3 and year-to-date, our Travel Retail sales grew over 30%. As a result, our Travel Retail sales are approximately 8% of our overall business. This is consistent with our Travel Retail penetration in 2019 even though international travel is still close to 20% below pre-COVID levels. Here we've continued to gain share in the mid-, high-growth; and highly profitable travel retail channel, particularly in EMEA and in the Americas, fueled by distribution expansion, travel retail exclusivities, successful innovations and, of course, our growing multi-category presence. And with no signs of slowing in global consumers' appetite for travel and coupled with the return of Chinese travelers in the coming quarters, we remain highly optimistic about the growth potential of this channel for the beauty industry as a whole and Coty in particular. Turning now to our sixth and final strategic pillar, which is becoming a leader in sustainability. We had several ESG milestones over the last few months. First, we launched the world-first globally distributed fragrance manufactured using ethanol from 100% recycled carbon emissions in partnership with LanzaTech. Gucci's latest fragrance, Where My Heart Beats, is a key development in Coty's Beauty That Lasts sustainability strategy. And importantly, we are targeting for the majority of our fragrance portfolio to be produced using carbon-captured ethanol or alcohol by the end of calendar 2023. And we know that consumers are willing to pay a premium for clean and sustainable products. Additionally, building our purpose, vision and values, Coty launched the #UndefineBeauty campaign. #UndefineBeauty campaign recognizes that current English-language definitions of the term beauty are outdated and calls on dictionary publishers to remove the implicit ageism and sexism from their definitions. We've seen a very strong positive response from our employees, our brand partners and our retail customers to this campaign, truly positioning Coty as a thought leader on this very crucial topic. And that brings me to our outlook for the remainder of the year. We expect Q4 like-for-like sales growth of the core business to be relatively consistent with the fiscal year-to-date growth of plus 10%. As a reminder: There will be no impact from the Russia exit in Q4. At current rates, we expect Q4 ForEx headwinds on revenues in the low single-digit percent. And importantly, we continue to expect modest Q4 adjusted gross margin expansion. Altogether, we expect Q4 adjusted EPS of breakeven to $0.01. For total fiscal '23, we now expect revenues for the core business, adjusting for the impact of the Russia exit, to grow 9% to 10% like-for-like, which reflects a significant increase from our original outlook for 6% to 8% core like-for-like growth adjusting for the impact of the Russia exit. We also continue to expect modest gross margin expansion year-on-year. We continue to target fiscal '23 adjusted EBITDA of $955 million to $965 million based on current ForEx rates, implying 50 basis points of adjusted EBITDA margin expansion and over 150 basis points of adjusted operating margin expansion. As a reminder: While our sales growth outlook has increased versus our expectations at the start of the year, our EBITDA outlook remains unchanged both because we have incurred over $50 million of negative ForEx impact on our profits fiscal year-to-date and because also we are actively reinvesting in our critical skin care organization and initiatives to fuel the growth flywheel in the coming years. Based on the strong EPS momentum year-to-date, we are increasing our fiscal '23 adjusted EPS outlook. Assuming the current stock price holds, we now expect an overall adjusted EPS of $0.52 to $0.53. Excluding the mark to market from the equity swap, we now expect approximately 35% growth in our fiscal '23 operating adjusted EPS to $0.38 to $0.39, up from our previous guidance of $0.35 to $0.36. We also continue to target a mid-20s-percent adjusted EPS CAGR through fiscal '26, excluding any mark-to-market adjustments on the equity swap, consistent with the targets we discussed recently at CAGNY. And we continue, of course, to target further reduction in leverage toward 3x exiting calendar '23 and 2x exiting calendar '25. To sum up. I'm very encouraged by our strong and consistent delivery over the last several years, exceeding expectations in the majority of the quarters. We remain confident in beauty as a structurally attractive category and the longevity of the fragrance index. And in this attractive market, Coty is poised to further outperform given the significant white space opportunities ahead of us within skin care and in China and Travel Retail. In short, we are excited by the path ahead as we continue on our journey to transform our company into a true beauty powerhouse. With that, let me open up the call for your questions.
Operator: Good morning, and welcome, everyone. My name is Chelsea, and I will be your conference operator today. At this time, I would like to welcome everyone to Coty's Third Quarter Fiscal 2023 question-and-answer conference call. As a reminder, this conference call is being recorded today, May 9, 2023. Please note that earlier this morning, Coty issued a press release and prepared remarks webcast, which can be found on its Investor Relations website. On today's call are Sue Nabi, Chief Executive Officer; and Laurent Mercier, Chief Financial Officer. I would like to remind you that many of the comments today may contain forward-looking statements. Please refer to Coty's earnings release and the reports filed with the SEC, or the company lists factors that could cause actual results to differ materially from those forward-looking statements. In addition, except where noted, the discussion of Coty's financial results and Coty's expectations reflect certain adjustments as specified in the non-GAAP financial measures section of the company's release. With that, we will now open the floor for questions.
Steve Powers: I guess my first question, just a clarification on the commentary on first quarter '24 pricing. Both the press release and the prepared remarks, if I heard correctly, sort of couple of those pricing comments with your efforts to transition the portfolio to cleaner, more sustainable products. I guess I was looking for a little bit more detail. Is that to cover the cost of that transition? Or are there other factors at play as you consider that round of pricing early next year?
Laurent Mercier: Steve, thanks for your question. So first of all, I mean, just to remind that indeed, we implemented price increase, I mean, over the last quarter, so the last one being end of Q3, which indeed is absolutely needed to mitigate cost inflation. And as you've seen in Q3, which is above 2%, and we expect in Q4 to be 2.5%. So now, indeed, yes, we are evaluating a new price increase in Q1 '24. And as we explained several times, I mean we always make sure that we do it in a granular manner. And definitely, we are making sure that it's always synchronized with value creation, and sustainability is definitely one of the biggest element that we are putting in place to create value. And concretely is what we are currently implementing is to bring a majority of our portfolio to carbon-neutral internal for end of calendar '23. So it's really focused on this value creation that we share between our key retailers and consumers. So this is one stream. But of course, there are a lot of other elements on value creation, which are about innovation and high-quality products we are bringing to the consumers. And to be very specific, to give you as a concrete example on Consumer Beauty also, where we are now developing clean formulations, which are -- and now as we speak, with you all is a example [indiscernible] we see them in the coming quarters.
Steve Powers: Okay. Very good. And actually, while I have you talking, too, I'm sure you'll get questions from others. But Laurent, on the cash flow, as you mentioned, 3Q is usually seasonally weaker or negative because of the -- because of seasonal elements. But 4Q is also not typically a super strong cash quarter for Coty. And I think given where you are in the year and given your guidance, it implies maybe a little bit more robust cash flow generation in the fourth quarter than at least we were expecting initially. So can you just talk us through the moving parts and your confidence in 4Q cash generation to get you to the full year guide?
Laurent Mercier: Yes, absolutely. I mean I confirm with full confidence that we delivered the year with cash flow above $400 million. So that's absolutely sure. So just to explain a little more on Q3, so you're right that Q3 is always seasonally weaker. The basic reason is that you need all the investment that we are doing in Q2, which is a big sales -- big season, we are cashing out in Q3. So that's always the cash cycle that we are having. Another example that I really want to bring to your attention is that also we are rebuilding inventory end of Q3. So this is really a conscious choice, conscious decision that we are making and also again, in control, we're delivering $200 million. So that we are really in a good position to secure Q1 and Q2 season, okay? So this is really what we are monitoring. And you saw it's really synchronized with the improvement of service levels that you are currently seeing. So Q4 will be positive, and we will end fiscal year '23 with the cash flow above $400 million. Year-to-date, as you noticed, it's $365 million, okay? So we are -- we keep bringing the cash generation, we are in control.
Operator: Our next question will come from Anna Lizzul with Bank of America.
Anna Lizzul: I was wondering if you can comment on the launch of Lancaster in China and how this compares to your expectations on skincare? And China has been a nice acceleration in fine fragrance penetration. How are you engaging there with consumers in this category versus Hong skincare?
Sue Nabi: Yes, Anna. This is Sue speaking. Thank you for the question. Indeed, China has been very active for Coty during this quarter, specifically at the end of the quarter and of course, during Q4. We started our skincare strategic bet in China a few weeks ago. And I can tell you that we are very happy about the very, very early results we are seeing behind Lancaster. Skincare is about R&D formulations, efficacy how consumers see operations. And I can tell you that the ratings are outstanding, 4.9 out of 5. This is really unseen on this very competitive where consumers are very demanding. So for a brand that was not doing skincare in China just a few months ago, these ratings are, I would say, of great confidence for us, really fantastic things about how consumers in China are seeing already results for those who shop the line in skincare just a few weeks ago. This is number one. And number two is that, of course, we are creating the awareness of the line in China. And as you've seen it probably during the presentation, the -- we were #1 in terms of social buzz in China, which is, again, I would say, an extra as we say in French, and this is in the middle of a very, very noisy environment. Everyone is trying to get through the noise of the Chinese market in terms of beauty brand. And we were #1 during the launch period, and we continue to see very qualitative comments on the line. You've heard that some consumers call the cream, the Kelly cream, which in the reference, of course, the Grace Kelly, which is great for us because that's a great summary of the high-quality, the exclusivity and of course, the European origin of the brand. Last but not least, when you look at what's happening at the counters, we've seen -- you've seen the first handling counter that opened, and we were there a few weeks ago in China. You see that the conversion is as high if not above some of the leading brands, which give us a great, great, great confidence. So now the job is to increase the traffic at the end of the day, when you have the formulations, when you have the right word of mouth, when you have a very high conversion, what takes is that now you need to create this facet across our counters on Tmall, et cetera, to increase the size of the brand. So it's really starting exactly where we were dreaming it to start and the way we were dreaming it to start. When it comes to the fragrances, the fragrances is that is also at play in China. And I was -- I took the advantage of my visit to China to visit some consumers at home -- fragrance buyers, this anti procedural is packing them fragrances and I can tell that there was incredibly surprised to see the level of expertise of consumers. In a way, they were telling us that this category today is more or less seen as almost the skincare category, is high-value category. It's category that's becoming performance-driven everyone is obsessed with what they call linger incense, which is long-lasting scent. And people are more and more moving from meritage and traditional brands, power is niche, very conceptual brands that tell them a very unique story, something that they can speak about in social media to valorize who they are. So in a way, a company like Coty between fragrances where we are starting from a low base, and we have a huge upside in front of us. Remember, the penetration is 3% to be compared to 50% in Europe. So there is a huge potential in the country. The fact that we have the right brands to operate there, and next to this, we have our skincare adventure that's starting right now. I think the upside can be very, very strong frequency.
Operator: Our next question comes from Rob Ottenstein with Evercore.
Rob Ottenstein: Two questions. One, I want to follow-up on fragrances. It looks like you're getting an acceleration in the quarter in the fragrance category. Is this driven by any specific brands? Or is it more broad-based? And then the second question is on the Consumer Beauty side, which continues to be very strong. What is fueling that continued momentum?
Sue Nabi: Yes. Thank you, Robert. Yes, indeed, we are seeing clearly an acceleration. This famous fragrance index that I have been referring to since a few quarters now is not only continuing, but it's accelerating. Fragrances in the Beauty division, the growth of the division was 16%, fragrances are around 20%. So it's a very, very strong growth that we are seeing than this particular while still continuing to recover on the service level. So clearly, this has to do with one hand with service level improvement, but also and moreover, I would say consumer demand has accelerated. And indeed, this growth is very broad based with the different brands. Now all the brands are doing their job and they are all fantastically posting a strong double-digit growth, be it Burberry, Hugo Boss [indiscernible] that's becoming a best seller line in Asia, of course, Gucci fragrances. And so this is clearly something that gives us a strong confidence that we have the right portfolio to enter the different consumer cycle graphics, either in terms of pricing, but also in terms of what they are willing to buy in terms of brand universe and equity. And on Consumer Beauty, it's clearly also a division where we are continuing to see a very strong momentum. Our cosmetics brands are all growing double digits, really this CoverGirl, Max Factor, Rimmel to name the biggest brands. And this clearly is a great demonstration of the work we've been doing. Remember, I always said that we were fixing with what we have enhanced since two years now, 2.5 years. And now we are starting to show to everyone what is the ability of this company to create really breakthrough innovation. So Yummy Gloss from CoverGirl is one of them. It's the #1 with color launch in the U.S., #5 cosmetic launch in the U.S. this spring. Clean Fresh Skincare by CoverGirl that we just announced a few days ago. I think this is going to be a massive success in this very strong area or [indiscernible] already strong which is mascaras, but we are seeing more or less the same thing behind women in U.K. with three [indiscernible] and Max Factor that's having a 30% [ TGL] growth, excluding Russia, which is really unprecedented for this brand. So I can tell you that cosmetics are doing fantastically well, but also our fragrances. I don't know if you're aware of this, but a brand like Bruno Banani and our Prestige division in that you know is as big as Hugo Boss. It's a really, really big property, and this one is also growing double digits. So the fragrance index is also at play in our Consumer Beauty business. So to confirm that in a way what was embedded in your question, growth coming from both divisions from all the brands in both divisions and the fragrance index is only accelerating.
Operator: Our next question comes from Rob Ottenstein cwith Citi.
Rob Ottenstein: A follow-up on China. You mentioned in the prepared remarks that April sales, including Hainan increase year-over-year and also the 2-year basis. Does that mean that your inventory levels are now in a normal position and now you're growing in line with consumption? Or do you assume some carryover impact from normalizing inventory in fiscal Q4? And then longer term, just any kind of target you can give us in terms of the Lancaster launch, what do you think the brand can get to within the China skincare category?
Laurent Mercier: Yes, Filippo. So indeed, you're absolutely right. So April, we are seeing some acceleration in April, so higher versus last year and higher versus two years ago. And to be very clear, this is really fewer organic performance, okay? So -- and this is a level of inventory with our retailers is very healthy. And this is definitely, the growth is driven by all initiatives that we have just mentioned. So in definitely, skincare, link obviously Lancaster, all the brands we are putting in place. Its second premiumization in high-end fragrance acceleration. So [indiscernible] is a clear example. We have also saw a great initiative cosmetic on Prestige Cosmetics with the two launches we made on Burberry Foundation and the Gucci Foundation, which has a very, very good start. So this is -- you are seeing that we are building the foundation of the new model in China. And the strength for Coty, as you know, that we are starting from a low base. So again, there is no retailer inventory and so on going again. So this is really pure incremental. And this is also the case of Consumer Beauty, where we have also fantastic and great initiatives on Adidas, which are really starting now and accelerating. So this is, again, keep the word of building the foundation and sequential acceleration for China.
Sue Nabi: So Filippo. This is Sue speaking. So on Lancaster, it is very real target. In fact, this is a business where you need to create where you are present in the brick-and-mortar stores and, of course, on the online store, the recipe for success. And again, the recipe for success is about consumer ratings, social buzz and conversion. So when we will see that we have the right level of consumer buzz, the right level of conversion and the best-in-class ratings, this is when we will decide to expand the distribution. And at the end of the day, this strategy is still the same. We have three brands, Lancaster in China Adidas that going to be also starting in China, in the U.S. and in travel retail. And [indiscernible], which is the biggest [indiscernible] brand we have today at Coty. That started its reinvention a month ago here again. And you've seen the fantastic advertising behind the latest here on dose of wisdom. These three brands will allow us to go to the $500 million in the coming years in terms of targets for our skincare business.
Operator: Our next question will come from Korinne Wolfmeyer with Piper Sandler.
Korinne Wolfmeyer: Congrats on the quarter. I'd like just kind of touch on the margin guidance for the year and some of the puts and takes behind that. First, you talked about slight gross margin expansion, but also you did really raise the EBITDA guidance for the year. Can you just talk about where maybe some of that pressure is coming through? And I know you mentioned FX and maybe some higher A&CP spend, but can you just talk about what we should expect for Q4 there? And then as we head into fiscal '24, how are you kind of thinking about the puts and takes of the margin trajectory there?
Laurent Mercier: Yes, absolutely. So we are confirming our full year guidance on EBITDA, so $955 million to $965 million. To answer your point, I mean, this is despite about $15 million ForEx headwind. So this is again guidance that we gave beginning of the year. Despite this headwind, we are really in a position to confirm. And at the same time, which is absolutely key is also to reinvest in our strategic initiatives, and we mentioned a few especially in China. So definitely, our equation is fully in control. Comfortably it means that our EBITDA margin will grow 50 basis points at the end of the year, and given our EBIT margin will grow 150 basis points. So you really understand that we are monitoring our equation in an accretive manner. And this is definitely the way we allocate the resources, fueling the growth, but also delivering, of course, the profit objective. I will add one important element to this is that, as you saw, we are increasing our EPS guidance by $0.03. So with the swap, okay, we -- the guidance is now to end the year at $0.52 to $0.53, which is close to 80% EPS increase versus last year. And if we exclude the swap, so the guidance is $0.48 to $0.49, which is about more than 30% EPS increase versus last year. So basically, you see a significant improvement in our EPS guidance. So now definitely looking forward for fiscal '24, and we will give you more detail in next earnings call. I mean we confirm the midterm algorithm that we shared a few months ago and that we reconfirmed during CAGNY is really to have net revenue growth at the upper end of the 6% to 8%, EBITDA growth in the range of the 9% to 11%, and EPS growth 23%, 26% in the mid-20.
Operator: Our next question comes from Ashley Helgans with Jefferies.
Unidentified Analyt: This is Sidney on for Ashley. First question was just any by category trends you can kind of call out in China and travel retail? And then just with the strength in the mass category, any potential signs of trade down that you're seeing at all?
Sue Nabi: So thank you for your question. So any sign of trade down, the answer is no. Clearly, no. We are not seeing any sign of trade down nowhere. We are investing even the opposite, the continuous communization be it in Consumer Beauty is what we call Kylie Beauty, which is a -- it is beauty that is at the premium, that's very cool and that's very trendy on social media and where CoverGirl is starting to participate finally, which is really the phase 2 of the invention of this brand. And by the way, the invention of all our Consumer Beauty customer color cosmetic Brand. And when it comes to Prestige categories, we are continuing to see the fragrance index at play. There is a globalization of the Fragrance index. It started in the U.S. and then now is in Europe and in China, which really is the best, I would say, news for us and for the industry, as you can imagine. This category is premiumizing and becoming the darling category of many consumers around the world. Skincare continues to be the clean category growing at a -- kind of good growth, not crazy, not low, good growth, which has already been the case with skincare things, Consumer Beauty which is almost been 30 years now. And this category -- by it's the biggest category worldwide, and this is where we want to play now. And last but not least, we see color cosmetics back in Consumer Beauty quite strongly, specifically in the U.S., but also around the world with a different subcategories growing. Lip stick was [indiscernible] back to lip stick, which is also something that's new, but also the classical foundation and mascara category. So no signs of trade down. All the categories are growing, premiumization and fragrance index is accelerating. So that's, I would say, the summary in terms of what we are seeing globally in terms of category penetration.
Operator: Our next question comes from Chris Carey with Wells Fargo Securities.
Chris Carey: So just two quick questions, please. Just number one, can you just talk about the Consumer Beauty profitability and how you see that trending going forward? And how fiscal Q3 came in relative to your expectations? And then the second question is, and I think there's been a couple of questions kind of around this topic, but there was a comment in the press release around more investment into your skincare and that the revenue benefits from that investment would take some time to play out. Is that in line with your prior expectations? Or are the -- is the skincare opportunity just taking a bit longer to develop and it sounds like you still have the same goals over time, but perhaps the phasing is changing. So just any clarity there. So thanks for those on Consumer Beauty margins and the pace of skincare investment versus revenue over time.
Laurent Mercier: Sure, sure. Thank you, Chris, for the question. So CB profitability. In Consumer Beauty, I mean, is a very profitable business. So maybe your question is more, but Q3. Q3 is always the quarter where we have significant investment for Consumer Beauty. And this is really the quarter where we have big launches. So we are investing. And again, it's fully included in our equation and in our quarterly equation. But bear in mind that all the initiatives that we are putting in place on Consumer Beauty are very accretive, gross margin accretive. So shared a few initiatives concretely that initiatives we are making -- we are launching currently on [indiscernible] I mean these are very profitable initiative. And definitely, the flywheel in Consumer Beauty is absolutely in motion. So we explained that within the first two, three years, we have to do the work and always watch what in place. And now, [indiscernible] there is some strong acceleration in top line, but also in the profitability, and there is a very strong ROI from all the initiatives that we are putting in place. So profit and margin will expand, should expand in fiscal '23 and beyond, exactly based on what I shared with you. The last element, which sounds a little more technical is also that in Q3, we have to pay some onetime ForEx impact mostly from LatAm, which was, I mean, mostly on Consumer Beauty. But again, going forward, I mean the flywheel and the model Consumer Beauty is very profitable. On your question, I can start, and Sue can build up on this. So we made very clear that indeed, in our balanced portfolio, skincare is really a strategic imperative. So we are investing, and this is indeed we included in our model and in our flywheel. So what we just kicked off with Lancaster and [indiscernible] we are doing currently also in U.S. with philosophy, but I can tell you from really the finance and marketing and commercial teams, we have very precise KPIs that we are tracking, so that we are really in a position to measure ROI also to put a corrective measures if needed. But definitely, I mean, ROI is there and definitely step by step, we are building a profitable business. Keep in mind that gross margin on skincare is also very accretive.
Sue Nabi: If indeed, I can complement what you said Laurent. The reality is that it's too early to tell you if we are doing faster or less fast than what we had in our mind. We just started 1.5 months ago. And the KPIs I've been sharing with you are excellent, and this is really the basis. You can do whatever you want. If you don't have the right formulations, if consumers do not find your brand interesting and is the conversion of counter is not good, there, you have issues. It's not absolutely the case. Remember, we've been very clear from the beginning that the strategic emphasis is on driving a balanced growth agenda equity in our portfolio, which includes imperative to double our skincare business in the coming years. So again, we continue to be very confident in this strategy because we have the technological know-how, because we have the patents, and because we are putting in place -- continuing to put in place the organizational capabilities. Of course, this requires upfront investments and that's clearly the name of the game, which we are making now. And the great news is that we're lucky to be in a position where the rest of the portfolio is growing very strongly, which allow us both to deliver on our profit commitment. And at the same time, it's only the end, it's not either, soon our skincare portfolio with all the activities I have been sharing with you now.
Operator: Our next question will come from Lauren Lieberman with Barclays.
Lauren Lieberman: Great. I just thought I'd kind of flip this around and -- so many things are going well. So I thought maybe it'd be interesting to hear what are the things, Sue and Laurent, that you're worried about as you look ahead? It seems like everything is on the right track, lots of positive updates today. So what are the things that are kind of top on your list as worry or watch points?
Laurent Mercier: I can tell you this question is really since the last three years, this is the ongoing question, and this is all the decisions. The strategy we built are really exactly to grow the company and to protect the company. This is the name of the game is balanced portfolio. So this is really what makes the difference and now what we are seeing in motion. So it's balanced in terms of category. So what you are seeing, fragrance is doing great. Color Cosmetic is doing great. And fragrance is also impressive, also in Consumer Beauty. And now indeed, we are adding skincare, and we have also a Prestige Cosmetic. So definitely building the balanced portfolio is -- makes a difference. It's also the case in terms of geographies, very balanced portfolio across the world. As you saw, America, doing very strong. And it's a case of North America, but also South America. So here also, you see really the balanced growth of our equation. Europe. Europe is very strong, and we are seeing currently also good momentum in Europe. I mean the fragrance index that's where I was referring to is now in motion in travel retail grew more than 30%. And last but not least, as we discussed extensively before, China for us is only an opportunity. So this is definitely that the world that with the leadership team that we are doing constantly. Last element to answer your point is also in terms of price partition. We are covering on the affordable products, so you can match the needs of part of the consumers. And then we are going open, and we are also reaching very high-end consumers. So all these elements definitely are giving us not only the protection, but also the drivers of profitable growth. So this is definitely what we are looking at and adapting constantly.
Operator: Our next question comes from Olivia Tong with Raymond James.
Olivia Tong: My first question is around the price increases that you're contemplating next quarter or in two quarters. Just if you could give us more color in terms of categories, geographies that you're contemplating? Is it areas you had already planned and it's just taking a little bit longer or areas that are new? And then on the fragrance service levels, getting back to the high 80s, can you talk about where it was heading into COVID? And at this rate of improvement, how long you think it will take you to get back to where you were before? And should we think of this shortage as impacting all the fragrance brands more or less equally on a percentage of sales or that could have potentially marked on the table? Are there any innovation changes you had to make as a result of the shortage? Just trying to think about the recovery as fragrance service levels get back to a more normalized pace?
Laurent Mercier: Yes, Olivia. So I mean, price increase, as we shared, I mean we are contemplating this new price increase in Q1 '24. I mean, the methodology remains the same and we explained several times. We have a dedicating pricing office, which was put in place more than two years ago. So the work we do is always very granular, so we do it in the per channel, per product, per category, per market, and we need to of course, combined with the data that we get from [CMI] so that we are making sure that what is done is really matching and exactly what the consumer needs. And as I shared before, is also we combine this with value creation. Sustainability is definitely a big angle on value creation. So this is the case indeed on Prestige, but also on Consumer Beauty. Keep this in mind that it's very granular work. And every time we are making sure that in terms of the portfolio, price increase that we are doing are very consistent, and we are not meeting some gaps between our products across the globe. So this is very something -- and I have to tell you now, we have very good expertise. And the last price increase went very smoothly and again, very good collaboration with the retailers. So on service level, definitely, we are seeing some very good improvement. So indeed now, I mean we are landing Q3 in the high 80s. What's very important, so in the media, so there is still some tension, and this is the case for the whole industry. So that's why we remain very focused. So that's why we are very clear that we also building inventory end of Q3. The key reason of the challenge on service level, in fact, is because the demand will remain very high. So it's very -- so it means that supply chain keeps adapting and there was already very strong export and the decision made. But basically, we stay very focused and to -- so this was the case -- this is the case on glass bottle indeed, but also caps and terms. But overall, very good improvement. We are now in a very good position. But of course, still some challenge that we are managing very, very carefully.
Operator: Our last question comes from Andrea Teixeira with JPMorgan.
Andrea Teixeira: So my question, if you can comment on the Prestige side of the business coming stronger than expected. And of course, you did mention a couple of things during the -- your prepared remarks and your answers. But we're seeing that strong demand in fragrance continues for about three years now and your implied fourth quarter, albeit is still very strong, it's about 11% for the total company. So I was wondering, if you were just embedding some conservatism or is there anything in the third quarter that came in? I understand it came in also above your expectations. If there is any setup that you had for Lancaster that obviously May salary and reopening in China. Anything you can contribute to, say, perhaps there's some pull forward there that you're embedding some deceleration? And then just a clarification, a couple of questions regarding margins. So as we think about the pricing that you're coming in for the first quarter, and what do you start yourself to in terms of the growth back in your Investor Day where you highlighted 9% to 11% EBITDA growth? Is that something you're saying basically we need to invest growth is coming in better than anticipated, we are not going to chase margins at this point? Obviously, you still had some improvement underlying, but it's probably at this point below what could be if you were not investing. Is that the way we're thinking? And in terms of priorities, your priority of -- the priority will be dollar top line and dollar margins as opposed to percentage margins. Is that fair?
Sue Nabi: This is Sue. I'm going to take the first part of the question maybe around the other performance of Prestige and how we see this in Q4. This Q3 benefited both from restocking and of course, from the two things. We start in our overall performance with our innovations. You think about a brand like Burberry between Burberry Her and Burberry Hero fragrances. We've jumped from the 30 positions to a top 10 position, something like this in the U.S. market. So you can see that we are overperforming the market, thanks to our innovation, restocking helps and by nature, also the growth of the market is lifting all of us. At the same time, and this growth is a huge 60% in the U.S., 40% globally. And it's just the beginning and belief of this fragrance in that, that is at play globally. In Q4, we believe that there will not be anymore any effects from restocking. This was really a onetime benefit in Q3. So now when it comes to EBITDA loss, maybe all you take this one when it comes to reinvesting prioritization of top line of R&D expansion.
Laurent Mercier: Absolutely. I will keep it short. I mean we said it just before, and definitely, what is important is really the end. So what we are doing is definitely to invest in the strategic initiatives, the big one, indeed, we referred to is skincare, but there are also a lot of other initiatives. So we are investing in the strategic initiatives and delivering the profit, EBITDA and EPS. So this is really the way, and this is we are monitoring our equation on a daily basis.
Operator: This concludes the question-and-answer portion of today's call. And I would like to turn the call back over to Sue for any additional or closing remarks.
Sue Nabi: Thank you very much. So thank you, everyone, for your questions. We are very proud as you can imagine that this 11th quarter of results that are in line or ahead of expectations. We see this sales growth accelerating both divisions, which is really -- as you can imagine, a very strong source of price for us. And both divisions are double-digit growth, and this is fantastic because we have two legs, and we need the two legs to compete in the very competitive world of today. We clearly understood that we are reinvesting behind our skincare pillar. Our obsession, and Laurent has been saying this several times during the call today is about creating several growth engines, two divisions, several brands, seven categories in several regions, and this is clearly starting to show results. And last but not least, while we are reinvesting, we are continuing to confirm our profit forecast and profit guidance. Last but not least, happy to say that the deleveraging of the company is fully on track targeting 3x at the end of calendar '23 and 2x at the end of calendar '25.
Operator: Thank you, ladies and gentlemen. This concludes today's question-and-answer call. We appreciate your participation, and you may disconnect at any time.